Operator: Good morning. My name is Ina. And I will be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold Royalties 2023 Annual and Fourth Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise.  Please be aware that some of the commentary may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate, as actual results and future events could differ materially from those anticipated in such statements. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you, Mr. Watson, you may begin your conference.
Nolan Watson : Thank you, Ina. Good morning, everyone. And thank you for calling into our Q4 and 2023 year-end earnings call. As usual, in a few minutes, I'll hand things over to Erfan, our CFO to review the earnings highlights. But before I do that, I'd like to take the time to give an update of Sandstorm’s business and the things that I will specifically focus on which I believe are important to shareholders are five-fold.  The first one being our updated guidance, not only for 2024, specifically, but also our longer five-year term guidance. As part of this guidance, we'll also be talking about the timing of our two growth projects being Hod Maden and MARA project. Number two, our current debt levels including our projected debt repayments, as well as the non-core asset sales process that we're going to use to achieve this. Number three, our current share buyback plans once we have achieved certain debt repayment thresholds. Number four, what this production guidance means in terms of cash flow expectations at today's gold price. And finally, a real quick summary of the key catalysts that we believe sales from shareholders can look forward to. So starting off with our updated guidance. This chart shows that updated production expectations for the next 15 years. And as you can see, over the next 15 years, we have substantial growth that we can look forward to. Our current expectation for 2024 production and our internal Sandstorm budget is approximately at the midpoint of the range that we are giving for guidance, which is 75,000 to 90,000 ounces, which is a slight pullback from our 2023 numbers.  As a reminder on our Q3 earnings call, we explained that investors should expect a slight pullback this year, because in 2023, we had approximately 5,000 ounces, from a onetime payment on the Mount Hamilton royalty that's non-recurring, as well as reduced deliveries on the Mercedes streams because of the restructuring of the stream to drop fixed monthly deliveries. So there's a couple of other small things.  So 2024 is a bit of a dip here. However, towards the end of this year, we expect Equinox to have its Greenstone mine up and running and Ivanhoe to have its Platreef mine up and running. So production should increase in future years from these high quality long life mines.  In our financial statements, and press release, we gave a very wide range for 2024 production guidance, and I apologize for such a wide range. But the goal is that each quarter will take that range of 75,000 to 90,000 ounces, and will materially narrow it every quarter to give more and more accurate and meaningful information. The reason for the wider range this year is primarily due to two factors that affect the ability of our gold equivalent ounce sales and our ability to predict it.  With those two primary factors being: number one, we're having to estimate how many ounces we will get this year from the new Greenstone stream as the mine completes construction and begins ramping up into commercial production. This is a very important stream for us and for our future. And once it's fully up and running, it should be 10,000 ounces of gold equivalent production per year to Sandstorm, which will be fantastic. However, mine ramp ups are notoriously challenging to predict. And it's hard for us to predict the timing. So we're giving ourselves a greater range this year.  The second issue is that our guidance is gold equivalent. And this means that we have to take our silver and our copper revenue and turn it into gold equivalent. And the economy is in a dynamic phase right now. And commodity prices are changing rapidly. And I'm very, very bullish on the price of gold over the next year.  The irony is, as the gold price goes up, we make more money and it's great for Sandstorm. But that means that the silver and the copper turn into less ounces of gold equivalent. So overall right now, if the gold prices go up, it's great for us. But I don't want us to miss the bottom end of our guidance because of it. So again, it's a wider sales range and we'll tighten that guidance range every quarter. In future years, it will be easier for us to predict our current gold equivalent ounces because every single major asset that that we have a construction are going into construction soon as a gold stream of royalty. And soon over 80% of our revenue will be from gold. So there'll be less fluctuations in our calculations due to fluctuations in gold price.  Going forward from this chart, you can see that once Hod Maden and MARA have been billed, our gold equivalent production should go to over 140,000 ounces per year. For now, it's very important to note their official guidance of 125,000 ounces per year within the next five years includes Hod Maden but it excludes MARA being built just until we have more definitive timing from Glencore on the MARA project. If MARA is built in Hod Maden is delayed, it would be closer to 110,000 ounces per year and then ramping up from there.  If Hod Maden is built and MARA is delayed, then it would be the 125,000 ounces per year that's in our current guidance. And again, if both mines are built, that puts us over 140,000 ounces a year.  There are many possible permutations. However, it's worth noting that despite what happened to SSR this week, the Hod Maden mine, which is fully permitted in the slated for full construction this year, can be delayed for up to an entire year, and we would still hit this guidance. So there's plenty of time for delays and for our current guidance to still be achieved.  Speaking of SSR, I think it's worth me addressing this because I've been getting a number of questions about it. For those of you who have not been following their situation, SSR, who's the project operator of Hod Maden has had a sad and unfortunate slip of their heap leach pad at an entirely different mine named Copler. At the moment, or only contact with them has been to express our sincere condolences for what has happened.  As a result, we don't have any more information and the public has about this event. And as the mine has nothing to do with Sandstorm, or any of our investments, other than the fact that SSR owns 10% and has the right to earn into 40% of Hod Maden. And the market is worried that these challenges may mean that Hod Maden gets delayed of it until issues get worked out.  Again, I don't have better information in the public. And therefore, I won't be taking any questions on this call about Copler or attempt to guess what happened at Copler? Or what will happen with SSR. But what I can say and we'll address and answer questions on is that even if there is a full delay, we would still hit our guidance. And we can talk about timing related to that.  It's worth noting that the two mining technical issues at Copler being a heap leach slip and possibly cyanide have nothing to do with Hod Maden. There is no heap leach of Hod Maden, and the mine was specifically designed to have no cyanide, so it'd be environmentally friendly. So if there is some reverberation in the mining industry for this incident, these technical issues are not applicable Hod Maden.  On the day this Copler event was announced Sandstorm stock price dropped 10%. And I think like candidly, it's a crazy overreaction by people who don't understand. Sandstorm was already trading at a discount to our inherent value because of Hod Maden. There is only 12% of earn out. And it isn't our only growth asset, as we have the MARA started to come into the picture. And MARA will eventually be a much bigger part of our now that of Hod Maden because it has a 30-year mine life already. So I believe the market reaction was to take the entire value of Hod Maden out of a market cap again, even though it was already mostly out of our value.  Getting some simple math. The worst case for Sandstorm is that the project is delayed. Maybe it goes on time, maybe it's delayed six months, maybe it's delayed a year or two. It will go into production one way or another one operator or another. And it's worth 12% of our NAV, assuming it goes into construction this year, then a two year delay only reduces our company's NAV by 1.3% from the loss of the time value of money. So a 10% drop in share price is happening. Because one or more people aren't thinking about this critically.  Fortunately for us, our balance sheet continues to strengthen. And soon we will be buying back their own shares.  And this brings me to my next point, which is the progress that we're making on our debt repayment, and how close we are to beginning to repurchase our own shares, whether we're very close to being able to do that. At December 31, our balance sheets showed that we had our debt down to $436 million, but we've been aggressively paying it off. And we recently sold another $7 million worth of other mining companies’ equity from our portfolio, which combined with cash flow from operations, we now have debt down to $419 million as of this morning. And we remain on target to get our debt down to below $350 million by the end of the year.  We have stated that as part of this objective, we'll sell a minimum of $40 million of non-core assets to help with this debt repayment and hopefully higher. And we have now completed $17 million with another $23 million plus to go. And we're now well into that process and we have good visibility on where that additional money is going to be coming from. So we're confident in hitting that debt reduction target by the end of the year.  Why is this so significant? For those who haven't heard me say this before, we have chosen $350 million as the figure that we believe that debt is so comfortably low at, we can then begin dividing future cash flows between debt repayments and share repurchases. We believe this will happen right at a time when the Fed is in full pivot mode, interest rates are coming down. We'll have the wind at our back from a monetary policy perspective, right when our Greenstone mine and Platreef streams are coming online. Our debt lower than what share repurchases, I believe our share price will trade up materially. And I look forward to it greatly.  In the past month, I've talked to a number of institutional investors of Sandstorm that represent approximately 30% of our investor base and 100% every single one of them are signed up to this plant and have approved this plant, and they're looking forward to this inflection point where Sandstorm's balance sheet will be at a place where we can continue to reduce debt and buy back our own shares. Real quickly, and speaking of cash flow, this brings me to my next point about record cash flow. Sandstorm’s portfolio is expected to continue to generate substantial cash flow. And this number is only going to grow as Greenstone Platreef, Robertson, Turquoise Hill, Hod Maden and MARA all start producing for us over time. At spot gold prices, we see a portfolio generating cash flow of up to $140 million per year, growing to over $200 million per year five years from now. And lastly, I think it's worth summarizing Sandstorm's catalyst going forward very quickly. Those things being, again, as I mentioned, getting debt to below $350 million by the end of the year us beginning to repurchase our own shares, first production from Greenstone and Platreef, Hod Maden commercial construction beginning, even if it's a bit delayed, its value has been entirely taken out of our market cap. So any clarity on timing or any progress will be a catalyst from here forward. A new feasibility coming out on MARA from Glencore and timing clarity from that. Our fundamentals are strong. Our balance sheet is now strong and getting stronger. Our cash flow is strong and are growing and our debt is dropping and share buybacks are around the corner.  So with that, I'm going to hand it over to Erfan to discuss the specific results.
Erfan Kazemi: Thank you, Nolan. Despite a challenging market in 2023, I'm happy to report that Sandstorm's financial results set several new records for the company and reflect the strength of an outstanding cash flowing royalty portfolio. In 2023, Sandstorm net sales, royalties and income from other interest of over $190 million, of which nearly $180 million was from the sales and royalty revenue. The delta between these two numbers primarily reflects a onetime contractual payment associated with the company's Mount Hamilton royalty that was received in the first quarter of 2023. Sandstorm set a new record in terms of production as well, selling over 97,000 attributable gold equivalent ounces during the year. This is an 18% increase in ounces sold year-over-year.  Looking at the annual financial results in a bit more detail, this table shows the breakdown of total revenue including $107 million attributable to sales from our stream assets and $73 million from royalty revenues. Compared to 2022, the average realized gold price from the company's gold streams was approximately 7% higher in 2023, while the average cash cost per attributable ounce was slightly lower at $223 per ounce. This calculates the cash operating margins of over $1,700 per ounce, nearly 90% profit margins on each ounce sold by the company. In total, cash flows from operating activities, excluding changes in non-cash working capital were just over $150 million. As Nolan discussed, we've been concentrating on deleveraging the company's balance sheet, following a number of growth acquisitions in 2022, using the company's strong cash flows to pay down bank debt as quickly as possible. With each passing quarter, Sandstorm's financial position continues to strengthen, and we currently have over $200 million in capital available to us.  Net income for the year ended 2023 was $42.7 million compared to $78.5 million in 2022. The decrease in net income is due to a combination of factors, including certain gains recognized in 2022 that did not occur in 2023, namely $37 million in gains resulting from the sale of the company's Hod Maden interest and equity interest in Entrée Resources to Horizon Copper and $25.8 million in gains on the disposal of certain assets primarily related to the sale of a portfolio of royalties to Sandbox royalties, all occurring in 2022. In 2023, there was a $22.2 million increase in finance expense, primarily related to interest paid on the company's revolving facility, which was drawn down in the third quarter of 2022 to finance certain acquisitions. We anticipate that these interest payments will decline as we continue to pay down debt.  The decrease in net income was partially offset by a $30.9 million increase in revenue, a $13.9 million increase in the gains recognized on the revaluation of the company's investments, $11.8 million gain in revenue recognized primarily related to the company's Mt. Hamilton royalty under total sales royalties and other contractual income amounts and a $4 million gain on the disposal of the company's Blackwater and El Pilar royalties to Sandbox royalties. Drilling down to the fourth quarter financial results, the company sold 23,250 gold equivalent ounces, resulting in revenue of $44.5 million for the quarter, an increase of 7% and 16%, respectively, when compared to the fourth quarter in 2022. Cash operating margins per ounce for the quarter were nearly 90% in line with the average for the fiscal year, resulting in cash flow from operating activities, excluding changes in non-cash working capital of $36.5 million, an increase of 22% compared to the same period in the prior year.  Net income for the fourth quarter was $24.5 million compared to a loss of $2.1 million during the same period of 2022. The increase in net income was due to a number of factors, including gains recognized on the company's investments mostly due to an increase in the fair value of the company's Sandbox and Horizon Copper debentures, increase in revenue for the quarter and a decrease in senior management compensation. In terms of where gold equivalent production came from in 2023, this chart shows the breakdown by asset. Cerro Moro was a top producing asset with over 13,500 attributable ounces sold. From Mercedes, the company sold 12,800 gold equivalent ounces. In January 2024, Sandstrom closed its previously announced transaction to amend its existing gold and silver stream agreements on the Mercedes mine with Bear Creek Mining. The amended stream terms are effective Jan 1, 2024.  In June 2023, Sandstrom completed the final part of this transaction with Horizon Copper, where Horizon acquired a portion of the Antamina 1.66% NPI royalty. Sandstrom received a 1.66% silver stream referenced to silver production Antamina and retained a portion of the residual royalty. During 2023, over 7,700 gold equivalent ounces were attributable to the Antamina assets. We were also thrilled to see news coming out this morning where the mine had received approval of its modified EIA, which extends the mine life another decade to 2036, highlighting the truly world-class nature of the asset. We look forward to further updates and extensions. The fourth largest contributor to production was Lundin Mining's Chapada project. In 2023, Lundin completed additional drilling at the Suarez deposit, which is located within Sandstorm stream. Lundin reported 25% growth and measured and indicated copper mineral resources at Suarez. Lundin is continuing to evaluate options for future processing, which might include, among other options, integrating the material into Chapada's processing facility. Looking at annual production in terms of regional metal breakdown, production from assets in North America contributed nearly 40% to gold equivalent ounces sold and 47% from South American mines. Precious metals continue to be Sandstorm's focus. In 2023, over 70% of production came from gold and silver, while 19% of gold equivalent production came from copper assets. With several key gold projects in development, we expect 80% of revenues that come from gold and silver by 2028. For 2024, based on the company's existing streams and royalties, attributable gold equivalent ounces are forecasted to be 75,000 and 90,000 ounces. The company's production forecast is expected to reach approximately 125,000 attributable gold equivalent ounces within the next five years.  And with that, I'll pass it over to Dave to discuss some of our assets and a few highlights. Dave?
David Awram : Great. Thanks, Erfan, and good morning, everyone. Today, I'm focusing on a couple of assets that are rarely touched upon. But before diving into that, let's discuss the updated guidance from Fruta del Norte.  Fruta del Norte continues to shine brighter with each passing update. Since construction began, management has consistently exceeded market expectations and the full year of 2023 was no exception with Lundin Gold overseeing production of over 481,000 ounces of gold. The good news continues as Lundin Gold guides for up to 500,000 ounces of production in 2024 and up to 520,000 ounces of production of both 2025 and 2026. This increase is attributed to ongoing investments in plant throughput aiming for a nameplate of about 5,000 tonnes per day and upgrades to concentrators to enhance metallurgical recovery.  In addition to mill upgrades, Lundin Gold intends to release new reserves based on their resource conversion program in 2023. They also plan to continue an aggressive near mine exploration program that performed exceptionally well in 2023. The 2024 program is expected to cost $30 million with intended drilling of 46,000 meters from both service and underground platforms, including successful targets from 2023 such as FDNS and Bonanza Saurez. Furthermore, Lundin Gold will continue exploration on regional targets in the Suarez Basin with an additional 10,000 meters drilling. Moving on to Horne 5 operated by Falco Resources, the project has undergone a significant transition following the recent announcement of the operating license and indemnity agreement with Glencore. This marks a major milestone allowing the project to move into a focused permitting phase and preparation for construction. As a reminder, the Horne Mine located just outside of historical mining center Rouyn-Noranda is pass producer and the Horne 5 deposit is a polymetallic extension of the original mine designed to be one of the lowest-cost underground gold producers in the world based on the 2021 feasibility study.  With over 11 million ounces of gold and over 1.1 million tonnes of copper produced historically, project currently boasts over 80 million tonnes of reserves with a grade of 2.24 grams per ton gold equivalent and a further 24 million tonnes of inferred resources at 2.22 grams per tonne gold equivalent. Now that the important OLIA agreement is in place with Glencore 2024 will focus on pushing forward permitting and exploring project financing options. The Falco team has worked tirelessly to reach this point, and we eagerly await the next catalyst in the assets development. Our 2% NSR on this massive deposit has the potential to cash flow for a generation or more, but has yet to be worked into our future production guidance. However, with the recent development, it gets closer and closer to a definitive timeline. Lastly, let's discuss mine Houndé. Posting on our involvement in this asset, 2 thoughts come to mind. Sandstorm has been around longer than I realized. And the royalty company model is truly powerful. We first invested in mine Houndé and Erdene Resources Corp. After just the first few drill holes were completed on this asset, and Erdene was considered an early stage floor with a good first-mover advantage in Mongolia. Today, the project boasts a $1 billion partner in the Mongolian Mining Corporation and is well into its construction just eight years after discovery. Fully financed to production, the project is expected to operate as one of the highest grade open pit gold projects in the world within the next 18 months. For Sandstorm, we hold a 1% NSR in this asset, along with an additional 1% NSR on their exciting exploration project El Pilar. As the company develops this mine, it realizes potential expansion, we may see this as a sustainable long-term source of revenue from one of the more well-established companies in a prolific mineral jurisdiction. Although in the last eight years have not been easy to develop mines, Erdene has done a remarkable job of moving the project forward. And we're delighted to see a project move so quickly from discovery to production.  So with that, I'll hand over the call to Ina, the operator for a Q&A session. Please feel free to ask questions about the royalties and streams and projects. Thank you.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Heiko Ihle from H.C. Wainwright. Please go ahead.
Heiko Ihle : Hello, everybody. Good morning. Thanks for taking my questions. I'll preface the whole thing, the SSR thing. Most of my questions were sort of going into that direction, but as per your request, I'll hold off. So I got a few other ones as well.  When it comes to the monetization of the $40 million to $100 million of non-core assets, are there any that stand out in regards to market interest? And can you maybe provide some color on the discount rates that you're seeing buyers apply or that, for that matter, you apply to things. And in general, just how are the offers coming in, in regards to cash versus stock, please?
Nolan Watson : Good question. So I would say, starting off, yes, we put out sort of a tender to have a bunch of companies look at a number of different royalties. There are certainly ones that do stand out within that package just because it's in a competitive process right now. I don't want to specifically plan those out. We're trying to keep our cards close to our chest with respect to people that we're negotiating with right now.  But what I can say from what we see is that it's a robust process. We see we're going to get to the now potentially higher and there may or may not be some things to take it well over that number, and we're working on that right now. Sorry, your next question was about?
Heiko Ihle : How do you offer cash versus stock?
Nolan Watson : Yeah. So it's a great question again. So I'll start -- all cash, we're not accepting any stock as part of this process for many companies. So everything in there is cash.
Heiko Ihle : Okay. That's actually interesting. Okay. I may have missed this in the past then. Fair enough. And then just moving on to something more or less in the same direction, $436 million in December, $419 million as of this morning, that's what this call had said. What are your plans quarter-by-quarter for the remainder of the year? And if you can't fully break it down, I wouldn't blame you. Any idea at least where you expect the debt to be at the end of the first quarter? And maybe just show us how contingent all of this is based on the sale of non-core assets? Or how much of it is continuing on the sale of non-core assets, please? Thank you very much.
Nolan Watson : Yeah. So I think it's -- because some of the non-core asset processes are lumpy and there's a couple of things in there. It's hard to predict which quarter they're going to land in. So I'll talk more on the whole year.  So to get below $350 million by December sometime of this year. We only need another $20 million in change in the non-core asset sale process, and we have multiple different ways to get there, and we'll get there. It's harder to tell quarter-by-quarter just because there's different wins things and payables in our – one of the things that moves around is our interest expense is constant quarter-over-quarter, but when we actually pay the interest versus when the interest accrues sometimes flips over quarter. So it's hard to predict at an exact quarter.  But we're at $419 million now will obviously be lower than that in six weeks when the quarter ends, and then we'll just continue to bring it down. So we're really comfortable that we'll hit that $350 million by December.
Heiko Ihle : Okay. Thanks for taking my question. I'll get back in queue. 
Operator: Thank you. And your next question comes from the line of Derick Ma from TD Securities. Please go ahead.
Derick Ma : Good morning. And thank you. I had a question on the 15-year outlook that you just posted on the presentation. It looks like there's a drop in 2027 in terms of GEOs 10,000 to 15,000 ounces that kind of been sprinkled into the 2030s. Can you talk about what drove the changing in thinking in 2027? And is that a reflection of Hod Maden?
Nolan Watson : So there's SSR has come out with guidance related specifically to Hod Maden in 2027 with respect to the ramp-up. So that current chart is showing that guidance that came from SSR, which is a ramp-up year with strong production, but not full year production.
Derick Ma : Right, right. And then Robertson, is that included in 2027? And how many annual deals and some expected to get from --
Nolan Watson : Robertson is not in 2027. If memory serves me correct, in our budget Roberson kicks in, in 2029 in our models.
Derick Ma : And annual GEOs [ph], what's the range you expect to get from Robertson?
Nolan Watson : It's going to depend here. I don't have the right in front of me, but it's going to be a few thousand ounces a year, I believe.
Derick Ma : And then finally, on MARA, can you remind us on the timing of payments when you guys execute that option on MARA? Is it a onetime payment where you pay up to $225 million? Or is it an initial payment and then a out over construction?
Nolan Watson : That's a really important question, actually. So for those who aren't familiar with it, the way it used to work when we originally signed the option agreement with Yumana [ph] is that they had to get the mine one-third built. And at that point in time, they would knock on our door and Sandstorm you have your option. If we say, yes, then we have to pay the $225 million right away.  When Glencore came in and bought a minority interest, he came back to us and said, we would like to rework that so that Sandstorm can you make your election, whether you're in or out at the time that our board is making the board-approved decision to begin full construction. So we said, okay, we'll do that. We would like to then make the payments as you build the mine. And so we've reworked the agreement with Glencore.  So when we say, yes, we then slowly start paying as they build the mine. We'll just do it with cash flow from operations. So we don't have to worry about getting our balance sheet to a place where we're ready to make that payment because when we say yes, we'll just start doing it with cash flow.
Derick Ma : Okay, perfect. Thank you. Appreciate that. 
Operator: Thank you. [Operator Instructions] Your next question comes from the line of Brian MacArthur from Raymond James. Please proceed.
Brian MacArthur : Good morning. And thank you for taking my question. First one, and I apologize, you may have said it. I think you did cut out, but just on Falco, you spent a lot of time talking about it, and it could be significant. But did you say it's not in any of that guidance out to 2038. And if not, why is that? Do you not feel you have some time horizon when this might come in? 
David Awram : Yeah, correct. We don't have it in the guidance at this point. What we're waiting for is for them to really secure our permits, secure project financing on it. That's typically what some of the minimum standards that we're looking for before we include anything into the guidance. So until that gets finalized and we have more of a definitive time line, we won't include it in guidance.
Brian MacArthur : Fair enough. Second question, I was just looking through for your guidance this year of 75,000 to 90,000 ounces in the footnote on the 125,000 ounces that was done at 1,800 gold, 23 silver, 390 copper. Did you use the same numbers for the guidance this year because [Indiscernible] gone. So one of the challenges to this sector at the moment is all these GEOs with relative prices? And maybe a second part, just philosophically, is that the right way we should be doing this as an industry anymore these GEO? Or should we just be focusing on free cash flow? 
Nolan Watson : I'll answer the latter part first. I think we see the focus on free cash flow. We're just trying to disclosing an understandable industry way, which I agree with your free cash flow is quite important.  Yes. We've run the numbers currently at $1,800 gold and that sort of was the midpoint of our guidance range. So if gold prices stay here or go up, there would be slightly fewer ounces, the midpoint of that range. Having said that, we have some even since we set that number, we've had some fun calls from people who are not expecting any ounces from this year. And we're going to get some ounces. So even with gold prices, where they are today, I still think the actual numbers are coming at the midpoint of the range.
Brian MacArthur : Great. That's very helpful. And my final question is just on the investments, just to understand where rating is because I think Sandbox goes one place and associates. But in those investments, we have all the convertible debt, and you have a total of $258 million. I assume what's in there are the -- I want to put it this way, the Antamina, Hod Maden and Bear Creek convertibles be main stuff and then there's a little bit of shares, of which there was 17 million you've sold, 7. Is there anything else major in there that I'm missing or is that based within.
Nolan Watson : No things you just listed are over 90% of it.
Brian MacArthur : Perfect. Thank you very much. That's very helpful. 
Operator: Thank you. [Operator Instructions] There are no further questions at this time. Please proceed.
Nolan Watson : All right. Well, thank you again, everyone, for voting in to today's call. And like always, we'll be around and feel free to phone us at the office and ask further questions as they come up, and hope everybody has a good day. 
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you all for participating. You may all disconnect.